Operator: Good afternoon. Welcome to WidePoint's First Quarter 2022 Earnings Conference Call. My name is Holly and l will be your operator for today's call. Joining us for today's presentation are WidePoint's President and CEO, Jin Kang; Executive Vice President and Chief Sales and Marketing Officer, Jason Holloway, and CFO Robert George. Following their remarks, we will open up the call for questions from WidePoint's publishing analysts and major investors. If your questions we're not taken today and you would like additional information, please contact WidePoint's Investor Relations team at wyy@gatewayir.com. Before we begin the call, I would like to provide WidePoint's Safe Harbor statement that includes cautions regarding forward-looking statements made during this call.  The matters discussed in this conference call may include forward-looking statements regarding future events and the future performance of WidePoint Corporation that involve risks and uncertainties that could cause actual results to differ materially from those anticipated. These risks and uncertainties are described in the company's Form-10Q filed with the Securities and Exchange Commission. Finally, I would like to remind everyone that this call will be made available for replay via a link in the Investor Relations section of the Company's website at www.widepoint.com. Now, I would like to turn the call over to WidePoint's President and CEO, Mr. Jin Kang. Sir, please proceed.
Jin Kang: Thank you, operator, and good afternoon to everyone. Thank you for joining us today to review our financial results for the first quarter ending March 31, 2022. Our call today will be a bit shorter than normal, given that it's only been roughly a month-and-a-half since our last earnings call. That said, it does not at all means we haven't been busy here at WidePoint. We remain committed to making strategic investments internally with the ultimate goal of executing our organic and inorganic growth strategy, which is to grow the top-line and operate profitably and stably to maximize our company's potential. Before I provide you with the additional updates, I am once again obliged to share that there are still macroeconomic headwinds that are out of our control affecting our business.  Whether it be COVID, supply chain disruptions, labor market shortages, or geopolitical issues, WidePoint similar to almost every other corporation in the U.S. is impacted to some extent. Nevertheless, we continue to do what we can to implement proactive action that combat these headwinds. For example, with respect to supply chain issues, one thing we recently started instituting was proactively looking for alternative sourcing methods within the U.S. by way of M&A or partnerships. We currently have various IT equipment, mobile devices, accessories, and other supplies that are being provided by offshore companies. To limit the number of variables within our supply chain, we are looking to secure sources here in the States.  We will continue to be nimble, flexible, and resilient in combating uncontrollable macroeconomic headwinds. Next, I'd like to highlight some recent encouraging updates. As you might have seen from our latest press release, we successfully stood up the commercial certificate authority infrastructure and we're now able to issue the most secure Multi Factor Authentication or MFA credentials to our commercial customers. We recently implemented, tested, and deployed all of the hardware and software necessary to issue these credentials for our commercial customers in the beverage industry and a large research in diversity. We also provided the necessary training and drafted the policy documentation for our customers to ensure that the most secure MFA solution is operated in the most secure manner.  Suffice it to say, our IBM solution is starting to take root in the commercial sector. Also, we continue to capture additional business on our DHS CWMS 2 contract vehicle. I'm happy to report that DHS has committed a substantial amount of their contract procurement authority under our CWMS 2 contract. And I'm cautiously optimistic that we will successfully capture substantially all of the funding allotted for this contract. Also, there are several large opportunities we are pursuing under this contract. And once awarded, may precipitate a contract modification to increase the ceiling. I will share more details of these opportunities as they move past inception stage and move into the task order request for quote stage.  Additionally, we have submitted our price adjustment requests to DHS to help offset the increases in labor cost we are experiencing from the unprecedented increase in labor rates caused by labor shortages and the great resignation. We remain cautiously optimistic that we can maintain or improve upon our current financial performance through these tough times. As it relates to our ESG initiatives, we're continuing to find success in our recycling program. As we stated in our previous calls, our subsidiary WidePoint Mobile Corporation received the R2V3 certification from the Sustainable Electronics International or SERI.  And we're continuing to gain traction as we build profitable revenue by responsibly recycling mobile and other smart devices, whether they be at the end of life, or those that can be recycled back into inventory. We see this effort to be a win-win for our environment, and win for our company as we are receiving profitable revenues from these activities and keeping these devices out of the landfill. I am optimistic that this part of our business will continue to grow as more and more mobile devices are placed into service, and reach the technical refresh phase of their life cycle. As we stated in our previous call, we were in the FedRAMP ready state.  I'm happy to report today that we recently received a verbal commitment from one of our customers that they will sponsor us for the full FedRAMP certification. Please stay tuned on our progress on this front. The FedRAMP certification are tests that our Intelligent Technology Management System or it ITMS meets all of the cybersecurity standards as per prescribed by the federal government for protecting our customer's data. Attaining this full FedRAMP certification will place us in rare company as we compete for work within the federal government. Additionally, this level of security demonstrate to our potential customers, especially those in the commercial sector and those verticals where security compliance key that WidePoint brings a high level of confidence when it comes to protection of their data and systems.  All-in-all, we're still executing our strategy for profitable growth through organic and inorganic means. We remain in line with our budget expectations and our encouragingly trending towards our top-line forecast. Our team is certain that the strategic investment we are making in the company will translate to profitable revenue growth. With that overview completed, I will now turn the call over to Jason to provide you with some details on the investments we are making on the sales and marketing front. Jason.
Jason Holloway: Thank you, Jin, and good afternoon, everyone. I'd like to start by sharing some of the progress we've made as a result of our acquisition of ITA. From a high level, I am pleased to share that the on-boarding process has been going as planned and we expect to have them fully integrated on the back-end sometime here in Q2. As mentioned on our prior call, we found early success and leveraging synergies, whether that be cross-selling or up-selling our services and solutions to ITA, base of customers, and vice versa. We had seen these joint sales and marketing initiatives continue to expand and are in fact, in line with our internal expectations for ITA revenues for the first quarter.  We see no signs of slowing down and also expect to see improving results in the quarters going forward. That said, as Bob will further expand on his updates, there are some acquisition costs incurred in Q1 as we continue the integration process. This will impact our operating expenses in the short run, but I'm very confident that there will be far greater returns in the long term as ITA fully becomes a part of WidePoint. One example of a when we previously shared, was with the beverage company who has engaged us for our identity and access management as a service. This project is also important to WidePoint strategically as it introduces our new DOD grade EKI identity and access management solution to the commercial sector.  We're diligently working with them to expand our managed services to potentially add telecom lifecycle management. The second win we shared on the prior call was with a large marketing, the multimedia rights holder for some of the most prestigious sports venues across the country. Due to ITA making such a good impression, we are in the latter stages of expanding our agreement. More specifically, the customer share that they would like to use WidePoint's IT as a service offerings for even more of its subsidiaries throughout its organization. The third win is with the financial institution that ITA closed as a new customer, which they also added our identity and access management as a service option.  Next, we continue to maintain our Microsoft Co-Sell certification status and have combined with ITaaS Microsoft Gold Partner certification, which gives us quite an edge as we continue to push into the commercial markets. Overall, we continue to reap the benefits of our ITA acquisition and look forward to maximizing the synergies as we near the completion of the integration process and strive towards profitable growth. Furthermore, I wanted to share that our identity and access management solution is being implemented at a major research university and a District of Columbia government agency. All-in-all, we are seeing progress on all fronts of the sales and marketing side and are encouraged by what we've been able to accomplish and by our healthy, growing pipeline. With that, I will hand the call over to Robert.
Robert George: Thank you, Jason. Good afternoon everyone. I'm pleased to share more details of our first-quarter 2022 financial results. For the first quarter, our revenue was $22.4 million. Compared to $20.7 million reported for the same quarter last year. Carrier services revenues increased by $1.6 million to $12.9 million from $11.3 million in first quarter of last year. This is largely due to carrier credits carried over from 2020 into Q1 of 2021 that we did not experience in Q1 of 2022. Manage services revenues increased 2% to $9.5 million from $9.3 million compared to the first quarter of last year. The increase in Managed Services was primarily due to reselling activities.  Our gross profit for the first quarter of 2022, was $3.9 million compared to $4 million in the prior quarter and $4.7 million in the first quarter of 2021. The decline in gross profit compared to last year was due to increased labor costs in particular in our ITaaS business. Gross margin decreased to 17% in the first quarter of 2022 from 23% in the first quarter of 2021. In first quarter of 2022, operating expenses increased 13.5% to $4.6 million from $4 million in the first quarter of last year. The increase in operating expense was primarily due to the inclusion of ITA for the full first-quarter of 2022 versus not being a part of our Q1 2021 results.  For the first quarter of 2022, GAAP net loss was $497,000 or a loss of $0.06 per diluted share. A decrease from net income of $609,000 or a gain of $0.07 per share in the first quarter of 2021. Our a non-GAAP basis, EBITDA for the first quarter of 2022 was $164,000 compared to $1 million last year. Our non-GAAP adjusted EBITDA was $345,000 in the first quarter compared to $1.2 million in the same period in 2021. Shifting the cash flow and the balance sheet, we exited the quarter was 7.3 million in cash and approximately 5 million available to draw on our credit facility.  Approximately 800 thousand increase in cash flow in the prior quarter resulted from positive cash flows were into working capital, partially offset by capital investment and our stock repurchase program. Our balance sheet continues remain strong and our current ratio at the end of March remains around 1.2 to 1, compared to 1.3 to 1 at the end of the previous quarter. Furthermore, although we have an ATM at our disposal, we have no current plans to execute any orders on the ATM, and we'll be opportunistic and act when the situations are favorable. This completes my financial summary. For more detailed analysis of our financial results, please reference our Form 10-Q, which was filed prior to this call. So with that, I'll turn the call back over to Jin.
Jin Kang: Thank you, Bob, and thank you, Jason. Now, let me touch upon our M&A strategy. Our executive team continued to search for and vet M&A targets and are currently reviewing a copious number of exciting opportunities. With the slowdown of the pandemic, we have begun to meet with prospects in person and have a few strong contenders and we look forward to providing you updates as events unfold. However, we have nothing definitive to announce at this time. Moreover, I want to share that we have currently paused our repurchase program to preserve our cash balance as we look to invest back into our technology and prepare for potential acquisitions.  Long-term, we still intend to leverage the buyback program when we feel the time is right. Finally, as you might have seen in our earnings release, we officially provided guidance figures for the full-year 2022. From a top-line perspective, we are forecasting $92 million to $98 million and from the adjusted EBITDA standpoint, we're projecting $2.5 million to $3.5 million. The adjusted EBITDA number is a bit lower than what we would have recognized. But due to the investments we're making back into the business and the integration expenses from the ITA acquisition, we are forecasting those figures.  The investments we're making into our sales, marketing, and branding efforts, as well as the investment we're making into our technology solutions will translate to greater growth and profitability in the future. Overall, we're continuing to execute our plans for profitable growth through organic and inorganic means and have an exciting 2022 ahead of us. We appreciate the dedication from our employees and support from our investors and look forward to providing you all with additional updates when appropriate. For that said, we're ready to take questions from our analysts and our major shareholders. Operator, will you please open the call for questions.
Operator: Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] We ask while posing your question, you please pick up your handset if listening on speakerphone to provide optimum sound quality, please hold while we poll for questions. Your first question for today is coming from Barry Sine with Spartan Capital Securities. Barry, your line is live.
Barry Sine: Good evening, gentlemen. Jin, I want to start with if you don't mind and your I guess second or last comment was on your M&A strategy and if I compare what you just said today, versus how you phrase that in prior quarters. Trying to do a little tea leaves reading, it sounds like you're a little closer to announcing something than you were previously or a little more optimistic. The board is obviously, I think that was in March pause the buyback program, and I think that leaving flexibility for acquisition was one of the factors that they had looked at. You said you have a few strong contenders. One of the things you've mentioned as an impediment in the past is while you've seen strong contenders, the price wasn't right. Is -- are all the stars aligning now? What's different now and am I reading your comments correctly that you're a bit closer now than you may have been in prior quarters?
Jin Kang: Hi, Barry. Thank you for that question. The answer is, I think that things are getting closer and the the stars are aligning, but I'm also mindful of always these acquisition targets, looking for unrealistic valuations. And there's always room for these -- the opportunities go sideways. And so while I'm more optimistic that we will have some opportunities here in 2022, there is no luck, if you will. So I'm more optimistic than I was a quarter ago, but It's still, we have long ways to go.
Barry Sine: Okay. And then Jin your last comment was on the guidance you've just given and by the way thank you for that. I think I have my math right, the midpoint for full-year EBITDA guidance is $3 million and you just reported $344,000 in EBITDA for the first quarter, which is not even half of that run rate for the full-year. So what changes over the next three quarters in terms of profitability? I guess some of it maybe ITA, I think Jason talked about completing the integration during the second quarter, presumably that eliminates some duplicative cost.
Jin Kang: Yes, we will be removing some of the duplication and redundancies. And the other things that's happened is that there has been some opportunities that pushed to the right that we expected to come in in the first quarter. So we have those elements happening and so we see us getting back into our forecast and making up around over the next several quarters.
Barry Sine: Okay, so when you say opportunities pushed to the right; that would be on a revenue side. Not so much on the cost?
Jin Kang: Correct.
Barry Sine: So you have the costs, but the revenue may come a little bit later than you were originally thinking?
Jin Kang: Yes.
Barry Sine: Okay. Got it. My -- I think my last question is just the headwinds that you're facing. And I want to focus in on handset availability and maybe supply chain issues. Apple makes their phones in China, there's a lock down in, Shanghai and somewhat in Beijing. If I look at the disclosure in the 10-Q it talked about managed carrier down a million, ITA was positive 1.6. So it sounds like a negative 26 and I think that was called out to recycling. And the way I'm reading that is if you don't sell a new phone, you don't get the revenue for recycling an old phone. So if you could talk about what specifically are you seeing in terms of handset availability headwinds, and how that impacted the numbers we're looking at in the quarter?
Jin Kang: We are seeing some slow up in some of the handsets and we're not quite sure what's going to happen with these renewed lock-down in Beijing, I think it is. So there are some impacts there and that's why we are looking for sourcing opportunities in the U.S. not specifically handsets, but there are various add-on accessories that we provide that has a fairly good margin for us. So we do see that there may be some slowdown in the handsets, but I think so far it has been manageable and we're cautiously optimistic that things will free back up here in the next couple of months. And so we will either -- if there is a slow up in second quarter that we should be able to catch up on the handsets in the third quarter. A lot of these orders are already placed. So far we have been able to make -- fulfill those orders, but it remains to be seen what the impact is going to be going forward with these renewed lockdowns over in China.
Barry Sine: And if you could speak specifically about what I talked about in the disclosure, the managed services disclosure in the 10-Q and down $1 million and then ITA 1.6. So am I reading that right organically excluding ITA that would've been down 2.6?
Jin Kang: Did you want to cover that, Bob? As far as I know, I thought our managed services revenue was slightly ahead. I take that back. Our revenue excluding the carrier services were slightly ahead and the ITA revenue was slightly behind. The revenue was probably like 70k below what we projected it to be -- what's going to be. So we thought that our revenue was fairly consistent or slightly higher than it was Q1 last year. That right?
Robert George: Yeah. We had lower volumes due to the recycling, accessory sales and that was offset by the IT sales. So there is a negative million in the recycling and accessories, but offset by the positive 1.6 and ITA.
Jin Kang: Okay, so our overall revenue was slightly ahead, right?
Robert George: It's 200,000 ahead overall within the managed service fee line, is a million down, which is the accessories and recycling.
Barry Sine: In wise recycling down is that because you're selling -- and presumably you recycle when you also sell a new handset. So I'm not quite sure why recycling is down.
Jin Kang: I can explain that. The recycling was down because there was one of the main customers, the tech refresh, pushed to the second quarter. So we should see the recycling revenue catch-up in second quarter. But it's not related to any slow up and hence sell any new of new handsets.
Barry Sine: Got it. Okay. Thank you for taking my questions.
Jin Kang: Sure thing.
Operator: [Operator Instructions] At this time, this concludes our question-and-answer session. If your question was not taken, please contact WidePoint IR team at wyy@gatewayir.com. I'd like to turn the call back over to Mr. Jin Kang for his closing remarks.
Jin Kang: Thank you, Operator. We appreciate everyone taking the time to join us today. As the Operator mentioned, if there were any questions we did not address today, please contact our IR team. You can find their full contact information at the bottom of today's earnings release. Thank you again. And have a great evening.
Operator: Thank you for joining us today for WidePoint's first-quarter 2022 conference call. You may now disconnect.